Operator: Good afternoon. My name is Joanna, and I will be your conference operator today. At this time, I would like to welcome everyone to the BSR REIT Q4 2022 Financial Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. Mr. Oberste, you may begin your conference.
Daniel Oberste: Thank you, Joanna, and good morning, everyone. Welcome to BSR REIT's conference call to discuss our financial results for the fourth quarter and year ended December 31, 2022. I'm joined on the call by Brandon Barger, our Chief Financial Officer. Susie Rosenbaum Koehn, our Chief Operating Officer, is also with us and will be available to answer questions following our prepared remarks. I'll begin the call by providing an overview of our fourth quarter performance. Brandon will then review the financials in detail and I'll conclude by discussing our business outlook. After that, we will be pleased to take your questions. To begin with, I want to remind listeners that, certain statements about future events made on this conference call are forward-looking in nature. Any such information is subject to risks, uncertainties and assumptions that could cause actual results to differ materially. Please refer to the cautionary statements on forward looking information in our news release and MD&A dated March 08, 2023 for more information. During the call, we will reference certain non-GAAP financial measures. Although we believe, these measures provide useful and supplemental information about our financial of performance, they are not recognized measures and do not have standard meanings under IFRS. Please see our MD&A for additional information regarding our non-IFRS financial measures, including reconciliations to the nearest IFRS measures. Also, please note that all dollar amounts are denominated in U.S. currency. 2022 was easily the strongest year in BSR REIT's history. Our focus on high quality properties and high growth Texas markets resulted in outstanding financial and operating performance. We generated same community revenue and NOI growth of 11.7% and 13.5% respectively. These figures were near the upper end of our recent guidance and exceeded the upper end of our initial guidance, and we generated exceptional growth in FFO and AFO per unit, which met our original guidance despite the impact of rising interest rates. I'm pleased to say that we also ended the year with a very strong quarter. Let me take you through a few of the Q4 highlights. Same community revenue increased 13.3% compared to Q4 last year. Same community NOI increased 11.7%. FFO per unit and AFO per unit increased 21.1% and 29.4% respectively, again despite higher interest rates, and net asset value per unit was $21.75 a year end, up 9.8% year over year. The results reflected continued high occupancy and strong growth in weighted average rent across our portfolio. Weighted average occupancy was 96% as of December 31, 2022 in line with a year earlier, and weighted average rent was $1,482 per apartment unit at year end, an increase of 11.7% from a year earlier and a sequential increase of 1.5% compared to the end of Q3 2022. Breaking rent growth down a bit further. Rental rates on new leases increased 2.1% during the fourth quarter, and renewals increased 11.9% over the prior lease, resulting in a blended increase of 6%. You could see the full breakdown of lease rate growth in occupancy in our Q4 MD&A and in the operational update news release that we issued on January 10. As you're likely aware, we announced in early October that the TSX approved our normal course issuer bid that enables us to purchase up to approximately 3.3 million units. We're about 10% of our public flow over a 12 month period. We were very active on this front during Q4, repurchasing approximately 1.08 million units under the NCIB and our automatic securities purchase plan at an average price of $13.55 per unit. We will continue to take advantage of opportunities to repurchase units when appropriate, enabling us to strengthen unit holder returns. BSR also received some recent recognition that I want to highlight. We were named one of the best places to work in multi-family and best places to work in multi-family for women, at the 2023 Multi-Family Innovation Awards by Multi-Family Leadership. We were also named one of the best places to work in Arkansas for the sixth straight year by Arkansas Business and our online reputation score for 2022 from J Turner Research was 81.11, which was far above the national average of 62.8. We expect this score will be among the top publicly traded US REITs when the scores are all published later this month. This score as a reminder is compiled based on resident reviews from websites like Google, Yelp, apartments.com, and apartmentrating.com. These achievements all point to a common theme. We have an outstanding and dedicated team that is proud to work for BSR and is fully committed to providing our residents the best possible living experience. It's a winning formula, and I'm proud to be leading such an exceptional team across all of our markets. Our outlook remains highly positive. We provided initial guidance for ‘23 that forecast continued solid growth in our key financial metrics, supported by very strong rental market conditions in our Texas MSAs. I'll speak more about this later in the call. I'll now invite Brandon to review our fourth quarter and full year financial results in more detail. Brandon?
Brandon Barger: Thank you, Dan. I'm very pleased to be speaking with you all on a quarterly conference call for the first time. I've met many of you in person and look forward to meeting more of you in the months ahead. Same community revenue increased 13.3% in the fourth quarter to 24.9 million compared to 22 million last year. The improvement primarily reflected a 12.3% increase in average rental rates for the same community properties from $1,225 per apartment unit as of December 31, 2021 to $1,376 as of December 31, 2022. Total portfolio revenue for Q4 2022 increased 22.2% to $41.6 million compared to $34.1 million in Q4 last year. This reflected $2.9 million of organic same community rental growth and a $6.1 million contribution from property acquisitions. This was partially offset by property dispositions that reduced revenue by 1.6 million. Net operating income or NOI for the same community properties was $13.8 million, an increase of 11.7% from $12.4 million in Q4 2021. The increase reflected higher same community revenue partially offset by an increase in property operating expenses of $1.5 million due to higher payroll administrative and repair and maintenance expenses and increases in the cost of real estate taxes and insurance compared to Q4 last year. NOI for the total portfolio increased 23.9% to $23.2 million from $18.7 million in Q4 of 2021. Same community NOI growth boosted total NOI by $1.4 million, while property acquisitions and non-stabilized properties increased NOI by $3.8 million. Dispositions reduced NOI by $0.7 million. As a reminder, non-stabilized properties refers to properties that were undergoing lease up or significant renovation during at least part of the comparative periods. FFO for Q4 2022 increased 37.6% to $13.3 million or $0.23 per unit compared to $9.7 million or $0.19 per unit last year. The increase reflected the higher NOI partially offset by an increase of $0.6 million and finance cost associated with debt incurred from property acquisitions and a general increase in interest rates. AFFO increased 37.5% to $12.5 million in Q4 2022 or $0.22 per unit from $9.1 million or $0.17 per unit last year. The increase primarily reflected the higher FFO partially offset by an Escrow rent guarantee realized in the prior year of $0.3 million. Net asset value or NAV increased 20.4% year-over-year to $1.24 billion from $1.0 billion at the end of 2021. NAV per unit was $21.75 at the end of December 2022, an increase of 9.8% from $19.81 a year earlier. The REIT paid quarterly cash distributions of $12.99 per unit in Q4 this year and $12.51 last year, representing an AFFO payout ratio of 59.6% in Q4 2022, compared with 71.4% in Q4 2021. All distributions were classified as a return of capital. I'll now review our results for the 12 months ended December 31, 2022. Same community revenue increased 11.7% in 2022 to $94.3 million from $84.4 million in 2021. The increase reflected a 12.3% year-over-year increase in same community rental rates as I noted earlier. Total portfolio revenue was $158.5 million, an increase of 32.6% from $119.6 million in 2021, reflecting higher same community revenue as well as contributions of $40.3 million from property acquisitions and $1.1 million from non-stabilized properties partially offset by dispositions that reduced revenue by $12.3 million. Same community NOI increased 13.5% to $51.1 million from $45 million in the prior year. The increase reflected higher same community revenue, partially offset by an increase in property operating expenses of $3.8 million. Total NOI increased 35.9% to $85.5 million from $62.9 million in the prior year, reflecting the increase in same community NOI as well as a contribution of $22.4 million from property acquisitions and non-stabilized properties. This was partially offset by dispositions, which reduced NOI by $5.8 million. FFO for 2022 increased 57% to $48.1 million or $0.86 per unit compared to $30.6 million or $0.6 per unit in 2021. The increase in FFO reflected the higher NOI, partially offset by increases of $1 million in G&A expenses and $4.3 million in finance costs. AFFO for 2022 increased 48.5% to $44.7 million or $0.8 per unit compared to $30.1 million or $0.59 per unit in the prior year. The increase in AFFO reflected the higher FFO, partially offset by lower realized escrowed rent guarantee compared to the prior year, as well as an increase in maintenance capital expenditures of $0.5 million. The REIT paid cash distributions of $0.518 per unit in 2022 and $0.504 per unit in 2021 with an AFFO payout ratio of 65.2% in 2022 and 85.4% in 2021. All distributions were classified as a return of capital. Turning to our balance sheet, the REIT debt to gross book value as of December 31, 2022 was 37.3% or 35.2% excluding the convertible debentures. Total liquidity was 166.7 million, including cash and cash equivalents of $7.2 million and $159.5 million available under our revolving credit facility. We also have the ability to obtain additional liquidity by adding properties to the current borrowing base of our credit facility. As of December 31, we had total mortgage notes payable of $499.1 million, excluding the credit facility with a weighted average contractual interest rate of 3.3%, and a weighted average term to maturity of 5.1 years. Total loans and borrowings were $726.4 million with a weighted average contractual interest rate of 3.4%, which excludes the convertible debentures. As we discussed on our third quarter call in July, 2022, we entered into three interest rate swaps to hedge $280 million of variable rate debt. Two of the swaps took effect on September 1, 2022. The third one took effect on January 3, 2023, just subsequent to the end of Q4 and matures on July 27, 2029. This swap has a notional value of $65 million at a fixed rate of 2.087%. Following the commencement of this swap, 99% of our debt is fixed or economically hedged to fixed rates at a weighted average interest rate of 3.2%. Near the end of the fourth quarter, we also amended an existing $80 million notional value interest rate swap, which reduced the fix rate from 1.704% to 0.44%, and shifted the maturity date from June 10, 2025 to June 10, 2024. Subsequent to this amendment, in early January, 2023, we entered into a new forward interest rate swap commencing on June 10, 2024 with an $80 million notional value at a fixed rate of 1.828%. Overall, we have materially reduced our interest rate risk through these swaps. Finally, I want to note that our outstanding convertible debentures were valued at $42.6 million at year end at a contractual interest rate of 5% maturing on September 30, 2025, with a conversion price of $14.40 per unit. I will now turn it back over to Dan for some closing comments.
Daniel Oberste: Thanks Brandon. Well, '22 is an exceptional year for BSR REIT, we're confident that our strong positive momentum is going to continue through ‘23 and beyond. The rental markets in our core Texas MSAs remain very robust supported by population and employment growth that are well above the US national average. As I've previously noted, the Texas Triangle represents the 15th largest economy in the world, and it continues to attract major job creating investments in corporate relocations. Occupancy rates in these markets remain high, and while rent growth has been very significant over the last couple of years, it's important to note that the affordability remains solid. According to the latest statistics we've seen, rent is a percentage of median household income is 27.2% in Dallas, 25.6% in Austin, and 22.6% in Houston. By comparison, that same number is 35.3% nationally in the U.S. and above 50% in gateway markets like New York, Boston, and Los Angeles. 2022 we provided annual guidance for the first time. It was highly positive, reflecting the bullish outlook for our Texas rental markets. While we made a couple of adjustments to the guidance over the course of the year, we met or exceeded those initial numbers even though rising interest rates impacted our FFO and AFFO per unit. Yesterday, we provided guidance for 2023. Our guidance calls for further solid growth in our key operating metrics. We currently expect FFO per unit of $0.90 to $0.96 compared to $0.86 last year. AFFO per unit of $0.83 to $0.89 compared to $0.80 last year. Same community revenue growth of 5% to 7%, same community NOI growth of 6% to 8%, and growth in property OpEx of 4% to 6%. We will continue to work hard to minimize operating expenses and identify efficiencies were possible. We're also continuing to evaluate further growth opportunities. We have the liquidity available to us to capitalize on any opportunities when they emerge. We're very disciplined buyers, and as we've shown, we'll remain patient and take advantage of opportunities when they arise. Through multiple years of capital recycling, we've sold everything we wanted to sell, and we built a leading portfolio of high-quality properties and high growth Sunbelt markets. These properties are delivering outstanding occupancy and rent growth that should enable BSR REIT to deliver strong returns for our unit holders for the foreseeable future. That concludes our remarks this morning, Brandon, Susie, and I will now be pleased to answer any questions you may have. Joanna, please open the line for questions.
Operator: [Operator Instructions] First question comes from David Chrystal at Echelon Capital Markets. Please go ahead.
David Chrystal: Susie, maybe just a quick question on the markets. And I know Dan, you mentioned kind of strength in the markets is still solid, but can you comment on leasing momentum year-to-date, and what you're seeing in terms of lifts on you and renewal leasing?
Susie Rosenbaum Koehn: Yes, hi, David. Absolutely, so in January and February we're renewing it a little bit over 8%, and our new leases are coming in at slight decline of 1.7%. However, you have to keep in mind that we are basically replacing short-term leases, and we did this in Q4 too. And so, a short-term lease, a month-to-month lease is obviously more expensive than a 12 month lease. So that's why our impacted, that's why our rates are being impacted by the replacement of the short-term leases. However, if I take that piece out, and we look at it on an apples-to-apples basis, meaning 12 months to 12 months, then it comes in closer to being consistent with the prior leases and takes us up to a blended rate increase of about 4%. Also, I should point out here too, that having a constant or flat increase related to new leases is a lot of the time related to seasonality in the winter too because less people move.
David Chrystal: Yes, fair. And are you seeing momentum build up or is it a little early to see what March rentals look like? Is there an improvement there? Or is it kind of flattened in line with Jan and Feb?
Susie Rosenbaum Koehn: Well, we are predicting obviously higher increases in revenue over the prior year in the first half of the year versus the latter half of the year, just because the comparables are easier. Right now, we are looking at already for renewals in May and those renewals are coming in around 6%. So that's pretty consistent with our guidance.
David Chrystal: Okay, fair. And just across the whole portfolio, do you have an estimate of mark-to-market?
Susie Rosenbaum Koehn: Yes. So mark-to-market would be around 8%, right now. And as we have said in the past, it usually takes about 18 months to get to recognizable mark-to-market. So, our increase in revenue in the guidance considers the increase from mark to market as well as some small offsets related to a little bit less other income.
David Chrystal: Okay, great. Thanks. And Dan, maybe shifting over to the investment side of things, you are obviously very active on the NCIB in the fourth quarter, where do you look at deploying your incremental investment dollar from here?
Daniel Oberste: Thanks David. Right now, we are deploying our free cash flow into value add renovations in Dallas and continued smart home technology and renovations across the portfolio. The returns on that capital deployment are fairly healthy, and they continue to be healthy and those value-add acquisitions that we bought in 2019, we look to close out the value add renovations towards the end of the year. Those investments, I think, paid a healthy return to our investors and the renovations have only reduced the return. Our guidance doesn't assume any acquisitions or dispositions. I want to also note, our guidance also assumes no impact of that development that we have in play in Austin right now that looks to come online. Oh, next summer, fully and then leasing again beginning in '24. So right now, we don't plan on selling the assets. I think when we look at deploying capital, our expectation is that acquisition market will probably pick up in the second half of the year. Our read through of the market right now, Colin is doing splendid job in their U. S. Research in the past year. I think their January numbers have multi-family volumes down, year-over-year about 70% in the month of January, pricing on the multifamily deals that did trade that's about $6.5 billion of apartments that traded in the U.S. in January. Pricing is down about 5% for those assets compared to January of last year. That's not all that different from what we are seeing in our markets. We don't see as -- we continue to see a wide bid-ask spread between the value that sellers are willing to sell assets and the value that buyers just can afford to pay. We don't see any capitulation on that spread, any meaningful capitulation on that spread. So it's just a recipe for transaction dropping. If we see opportunities in this environment to hit our returns, create accretion on an AFFO per unit and an FFO per unit basis for our investors, back to traditional external growth opportunities and returns that we have seen in the past, we will definitely take advantage of them. Right now, we don't in love what we are seeing from an asking price standpoint and a transaction price standpoint in our markets. We will remain patient and nimble just like we have displayed. And then when we see opportunities, we'll pounce on them much like you saw us pounce on the over 60 rotations that we did in during a 36 month period, while we rebuilt the REIT from, I'll call it 19 to 21.
Operator: Thank you. Next question comes from Sairam Srinivas at Cormark Securities. Please go ahead.
Sairam Srinivas: Just trying to doubling down on Dan's line of questioning. Susie, in terms of the markets you guys are in, can you give us some color on the diverging trends of rent growth and occupancy are seeing in those markets and the health across these markets?
Susie Rosenbaum Koehn: Sure. So yes, right now, we're seeing occupancy is holding pretty stable in the 95%, 96% range, just like we were at year end. However, I want to point out the guidance actually includes a slight decline from where we are at 96%, where we were at the end of the year to 95% at the end of this year. And that relates a bit to some of the supply we're seeing in Austin, which Dan is going to expand on.
Daniel Oberste: Yes, I think so the supply in Austin is twofold side. We saw some net deliveries in downtown Austin, really outpacing absorption the remarkable absorption that we continue to see in Austin, but outpacing at a -- I'll say Q3, Q4. Our properties are really situated around the suburban corridor of Austin. So, those net deliveries at a $3,400 a month rent price, $3.50 a foot, they don't really impact our operations and our property and our portfolio in Austin, I'll say to date. When we look forward, one thing we're sensitive to is some supply growth in North Austin, in North Austin in particular. Now, I want to highlight here that this new supply that's dropping in North Austin is it may create some short term, I'll say non tightness in our leasing conditions. We've addressed that and guided and our guidance reflects that. But overall, the cost to complete these projects is let's say, $260,000 to $300,000 a suite. I think that compares very favorably to the $170,000 a suite that our REIT is currently trading at on the TSX. I think that compares very to the 230,000 suite that our REITs recently reported NAV is sitting at. I think that sets us up quite nicely to defend and continue to play defense and retain our existing resident base. So summarize it here, we positioned this portfolio years ago and messaged it to take advantage of market conditions. We'd rather be us where we are right now and we're in fantastic shape to operate our stabilized portfolio in around Texas, but particularly in north Austin, which probably expect to see a little bit of softness in the near term. But I'd say, the long term supply in Austin and in Dallas and Houston for that matter the news starts that we're seeing the credit conditions continue to prohibit new starts from taking place, Sai. That absorption and that net tenant resident demand driven by relocations, corporate relocations and net move-ins continue to keep up. So, it's a pretty simple argument, are pretty simple math formula. We think that supply could impact us for six months de-minimisously that impact is included in our guidance. And then after that, we're seeing supply drop off a cliff, and that teased BSR up and any multi-family owner in these Sunbelt high growth markets for probably two to three years of sustained absorption, net well net of existing starts that are set to be delivered in those years.
Sairam Srinivas: That's great, Dan. Thank you for that. Probably just speaking into the comments in this markets, especially looking at Houston, [Indiscernible] about making a trip to business quarter in Houston and in terms of absolute dollar terms, it's kind of plateaued on a quarter-on-quarter basis. Is that something to do with the supply dynamics there or anything more specific in that market?
Susie Rosenbaum Koehn: Sai, Houston, I think, you're looking at the fact that the new -- the effective new lease rates were negative by 2.2% in the fourth quarter in Houston, but that's also related to replacing short term leases with longer term leases. If you recall, we focused in the fourth quarter on building occupancy and locking in longer term leases. And so, if you take out the shorter-term leases and look at this on a longer term to a longer-term lease, then it's no longer negative and it's consistent with the prior leases or the same.
Sairam Srinivas: That's, great, Susie. Thanks for that. And my last question, Dan, you mentioned the repositioning program as such. Do you guys have a goal of the number of seats you want to kind of reposition this year and average spend you expecting on that?
Daniel Oberste: I think, we think about it in three different buckets. We've got another, let's say, 4,000 units that we'd like to install smart-home technology in. We'd like to tackle that investment by the end of the year. That's a quick update that we can oftentimes execute upon while the resident is still in their residence. The second part of the three-headed dragon on value add for us right now is installation of washers and dryers. I believe, we have -- I believe we have 1,200 units throughout the portfolio that we continue to want to install washers and dryers inside the units. Those, oftentimes those units have washers and dryers in them, but they're owned by the incumbent resident. So, we'll wait on renewal or move out to install those washers and dryers. The return there is healthy, call it 50 bucks a month against $600 purchase price give or take. That one we're not in control of. We'd love to get those washers and dryers in sooner than later, but let's roll that over a two-year period. And then you come back to the suite renovations. I think we did 42 more suite renovations last in the fourth quarter than we had budgeted for the year. When we look on a look forward, I'd say that number of suite renovations looks to be less than a thousand, we'll probably say closer to about 300 to 400 suites over the course of the next 12 months. And we still like that north of 10% cash on cash return on the return for suite renovations.
Operator: Thank you. Next question comes from Brad Sturges at Raymond James. Please go ahead.
Brad Sturges: Hi, there. Just to go back to the conversation around the bid-ask spread in the transactional markets. Where do you think, we ultimately end up from a cap rate perspective, given where we are today on financing costs? You've been, I guess, increasing your cap rate on a little bit and you alluded to, I guess, valuations being down about 5%. Just curious where you think we trends here over the next couple of quarters?
Daniel Oberste: Yes. I think the next couple of quarters is not really going to have a -- provide anyone a good opportunity for a read through on values. I think we are in a dislocated market. And you have got a seller who has got a healthy rate on their existing debt and really didn't have much of a desire to sell it at a haircut on price. And you have got a buyer that because of credit conditions is unwilling to finance at the low asking cap rate. Our view is that, that bid-ask spread is going to continue to remain wide so long as Jerome Powell and the governors at the Bank of Canada and the governors at the Bank of England remain household names for the majority of our populations. I think the second, those macroeconomic trends leave us. I would expect to see a floodgate of transactions open under the historical spreads to constant on debt. I would tell you that, post the reopening, we expect transaction volume to pick up in the second half of the year. Here is my view, and it's our view, what we have historically seen is that, high growth markets, the premium on top of a treasury is very thin, new construction projects, the premium on top of the U.S. treasury, and I'm going to use the 10 years of benchmark is very thin. What BSR has is a portfolio of new construction assets in high growth markets. So I think you probably expect properties like ours to cap rate trades on those type of assets to rate very tight in a normalized post macro ownership environment, where we see a tight spread over the 10 year. I think what we will also see is a widening spread in markets that we don't see a lot of growth in, smaller markets, older assets, markets where you don't see a lot of humans moving to. I think those cap rates will widen up a bit and that makes a lot of logical sense. I think as far as specific cap rates are concerned, I can recall buying a property in Austin, Texas in 2010 at a 6.26 look forward cap. I'm not sure where the tenure was at that time, but that was a good representation of a value add asset in Austin 14 years ago as a 6.25 cap. And I'd say BSR, has a portfolio of brand new assets in the best submarkets in Austin. And against that backdrop with a 2013 10-year spread, the REIT was able to capitalize on an acquisition that made a heck of a return for our investors and partners for the REIT. I think, when we see that reopening occur, and we see spreads trade at traditional norms, we will cherry pick and deploy. Right now, we think our capacity is about $0.25 billion of acquisitions using our available lines. We think we probably deploy capital into those opportunistic acquisitions, as they pop up. And if they don't, we are not going to push a rope in a short-term in order to feed a growth monster.
Brad Sturges: And just go back to that spread comparable to your portfolio. What historically what would've been that tight spread you're alluding to over treasuries?
Daniel Oberste: Comparable to the portfolio right now?
Brad Sturges: Yes.
Daniel Oberste: I'd elaborate on the question. I think that I mean, if I was to or if really objectively, if anyone was to look at our portfolio, which is right now, I want to say the youngest publicly traded REIT of relevance in North America with 91% of its NOI is situated in the Sunbelt, Texas, Houston, Austin, Dallas. Those are cap rate spreads that are going to stay well below the national average on a look forward. The growth in those markets and a handful of other markets is just going to -- it's going to absorb a lot of capital in the future. But so long as this debt environment exists, you're going to see low transactions and it's going to be tough to read through on cap rates. I think the team did an excellent job producing a NAV, and really I'll say working through a methodical approach to produce a NAV that depicts accurately where we're seeing deals trade, but the deal volume's lower and the read through on some transactions creates a little bit of distortion.
Brad Sturges: The just as you think about capital allocation, I guess in the near term, next couple quarters, while I guess transaction opportunity is a little bit more muted. What do you think is the best use of your retained cash flow? Is that to buy back stock or repay debt? Any thoughts in terms of where you think the best opportunities may lie?
Daniel Oberste: Yes, it's tough to repay much more debt than we're repaying is we're fully hedged at 3.2%. I thought you were going to ask me how you managed to lower the interest rate on your debt that was fully hedged by 20 basis points quarter over quarter sequential. But it's tough to pay down that debt at that return, Brad. I think when we look at the value of our stock in the marketplace right now, as it's trading, it's a pretty compelling investment, especially when we believe in our NAV, and we work and live in these markets and we see what these properties are producing operationally and what they're trading at. I do want to remind everybody that that 2022 is by far the best operational year in BSR, but in multi-family sector in general. And if you look at 2023, our guidance and heck, all of our U.S. peers guidance would mark probably the fifth best year of multi-family since I've been alive. So up top, the product is selling, it's in high demand. We're in a macro debt driven market right now. I think when we think about deploying our capital we look at our stock prices as it's traded. I think I quoted that earlier. We're looking at trading values by the pound for new construction assets of $275,000 a suite that looks pretty favorable to our 170 in change that our units are, are traded at right now. That's a -- I think that's a nice little return for our investors and we'll look to take advantage of that opportunistically with a -- I think a mindful eye to liquidity. And at the same time, Brad, we do believe that when markets open back up, the floodgates open. This too will pass. This is a frustrating market for real estate investors as it's driven by whatever Chairman, Powell says in a Senate hearing. And we understand that, but when that volatility stops, the product is selling like hotcakes. Operationally, our product is in high demand and we want to keep enough capital available to take advantage of returns that over a three, a five and a seven year modified internal rate of return exceed that at the returns that we otherwise see by acquiring back our stock.
Brad Sturges: Okay. That's helpful. The just to go back to the leasing discussion in terms of trying to term out some of your leases here, would the bulk of the extending kind of these shorter leases out, is that mostly going to be done by Q1 or would we see that continue on through the maybe another quarter or two?
Susie Rosenbaum Koehn: I mean, I think the answer to that is it depends, right? Our rates change every single day, and while we have been focusing on occupancy and we continue to do so, right. If it's more profitable at the end of the day to continue with some month to months, we'll do that too. Though I think that it's important, again, for me to reiterate here though, that we're going to get the biggest pickup in our revenue happens in the first half of the year, right, compared to the prior year. And while we expect increases in the second half of the year, they just won't be as large. So, while we've got a 6% total income increase, it's not going to be like on a straight line basis. You'll see our first two quarters come out higher than you will see the second two.
Operator: Thank you. Next question comes from Himanshu Gupta at Scotiabank. Please go ahead.
Himanshu Gupta: So in terms of concessions of free rent is that mostly in Houston or are you beginning to see that in Austin market as well?
Daniel Oberste: I may ask you. One thing to remind everyone, in the U.S. stabilized operators really have moved to a revenue management system where they don't issue concessions. Where we do see concessions is on a development lease up. And we're not really seeing a ton of concessions in the Houston market. I think we are seeing on development lease up in central Austin right now. Concessions, traditional concessions, that look more like one month of free rent on a 12 to 13 month lease. That's not unusual for lease up, and it really doesn't have much of an impact on a stabilized operator, especially in an environment like this where it looks like migration patterns, intra-city migration patterns of residents. They look to be staying at home and renewing their lease as opposed to driving across town to get a $40 a month better deal.
Himanshu Gupta: All right. So you mentioned about Austin there. I mean, clearly a lot of new supplies coming this year. Do you also have a handle on the number of units under lease-up in Austin? And in the combination of two, how do you think market rents in Austin might go from here?
Daniel Oberste: Yes. So I think, on number of units in lease up, let's say, let me see if I can get my math right. There's probably 12,000, 13,000 units delivered in Austin last year. Give or take on a rolling 12 month, and lease up conditions in the first half of the year in the absorption was continue to be remarkable. I think a lease up delivered right now depending on location on a look forward. You are really going to have to drill down into the submarkets. So based on our view of the submarkets, the Northwest Austin submarket looks to be a little bit slow on lease up, fortunately and perhaps by design, we don't have many properties, if any properties in Northwest Austin. Then I think if you're looking at Round Rock, if you're looking at Georgetown and Leander and to a certain extent if you are looking at Cedar Park and and South Austin, you are seeing a bit of supply, but not anything extraordinarily high relative to the absorption that has come into those submarkets. That gives us room for encouragement on look forward in the market in the short-term. And we kind of believe that, Austin is going to be resilient. It's kind of -- as I say, it's hard to fall off the floor. While Austin has effectively been number one, in a lot of accounts the last two years on apartment total unit over return growth, it's hard to crash through the ceiling. So we think absorption continues to remarkably keep up with supply in the long-term. And then we think probably, and our guidance for '23 includes any movement to occupancy rates that we are seeing out of Austin right now as a result of deliveries. I think the long-term setup in Austin is important to focus on, Himanshu. These starts aren't coming off the ground. It takes about 20.5 months, give or take, to build an apartment complex and this absorbs this tenant demand, resident demand in these in these relocations continue to take place. As long as that exists and as long as our markets remain affordable relative to the national gateway average, you are going to see more relocations, you are going to see more people moving in to these three markets every single year. And if those individuals create households, about 40% of them are going to rent apartments, and buy our look through, it doesn't look like there is enough apartments available in 2024, 2025 and 2026 to fill the need of the residents migrating to Austin, Dallas and Houston, but Austin in particular.
Himanshu Gupta: Thank you, Dan. And last question from me. If you were to rank the three Texas markets from strongest to weakest, I mean, is there to say Dallas number one then Houston, than Austin or it will be you think Houston could be a bit weaker than Austin? In the next 12 months, I'm talking.
Daniel Oberste: In the next 12 months, yes, Dallas, we would probably rank on top. One of our friends in Canada, I think put it best. Dallas grows by the population of Regina every year and those people need to live somewhere. Dallas just continues to be a giant magnet of growth in good times and bad times, population growth, job growth as a vibrant city. I think Houston and Austin right now are tied to my mind, for different reasons. In Houston's case, Himanshu, we saw, let's say, about 100,000 people moved there last year, 110,000 somewhere in there. And we only saw absorption of about 1500 units I guess, on a trailing 6 month. So those 100,000 people who've got to live somewhere, we didn't see as much household creation as we would expect. We would expect those 100,000 people to create about 20,000 to 40,000 households. And again, we'd get about 40% to 50% of those people moving into apartments. Eventually, those people are going to create households. Right now, they might be living with mom and dad. You might have two coworkers renting a two bedroom as opposed to two, one bedrooms. But eventually, we're going to get them over in multi-family, and they're going to create their households. That's the opportunity that we're looking at in Houston is household formations generating out outpace demand in a city of 9 million people with a giant port with tons of concentration on energy and renewables. And it's somewhat tied to the future of the federal government's spending policy on infrastructure improvement. Lots of long-term bullish bets on Houston on the BSR end. Now, if I move over into Austin, the reason I'm tied with Houston, different reason, it's because of short-term supply issues that I think it'll overcome. I think it'll overcome them quicker than people anticipate. And again, we bought these properties that we own in this portfolio and our investors own at a much lower basis than what's being delivered in this market. We deliberately bought these properties. We got in early. This is a seasoned growth market, and it looks to be sustained as a healthy employment driver, population growth mark market for the foreseeable future.
Operator: Thank you. Next question comes from Matt Kornack at National Bank Financial. Please go ahead.
Matt Kornack: You guys are pretty well positioned from a balance sheet standpoint, but maybe some other participants be they merchant developers or funds that have utilized higher leverage and maybe variable rate debt to may not have the same ability to wait. Are you starting to hear or see anything on that front that they may ultimately be forced to come and sell assets to the market? Or are they the finance providers giving them additional funding to continue to keep them afloat?
Daniel Oberste: Yes, what we're hearing right now, Matt, is that --- it's a little bit of both, but it's probably more concern over not what to do with an asset today. If you got a highly levered balance sheet filled with floating rate debt, it's more what to do with that asset in three to six months. I think banks are not as willing to work with buyers as you would imagine are sellers as you would imagine, especially in the multi-family world. And that to us tees up acquisition opportunities opportunistically, some cases by the pound as we look into the second half of the year. As far as any specific discussions we've had, we probably want to keep those discussions close to the chest for now.
Matt Kornack: That's fair commentary. But it does sound like it's something that may precede maybe a return to more normal transaction activity between existing kind of long-term hold type investors.
Daniel Oberste: Certainly, I mean, in BSR's case, I guess you can call it smart, you can call it lucky. I'd rather be lucky than smart. But in our case, we've got a fully hedged balance sheet. We've got as we said, about a quarter of a billion dollars of just clean acquisition dry powder. We can deploy those some of that capital into NCIB. We bought back a third of those available units in the fourth quarter. And we've kind of proven in the past that we're pretty opportunistic and quick to strike when we see opportunities. The second we start to see the primarily that transaction market open up and generate these long-term greedy returns that we like. You can -- I'd say, you can probably bet that we'll pounce on those opportunities.
Matt Kornack: Okay. No, that makes sense. And then Susie, I don't know if you can -- if you have this information, but do you have a sense as to how much of the portfolio is kind of shorter duration leases?
Susie Rosenbaum Koehn: I'm sorry, Matt. I don't have that in front of me right now.
Matt Kornack: But is it fair to say, I mean, it can't be a huge portion that's or how I guess, did those come about? Was that just -- it was opportunistic or were those extensions to existing leases and just interest?
Susie Rosenbaum Koehn: Yes. Sure. I mean, it's always been available, and normally when someone's original lease matures they have the option to go month to month at a just much higher price. There are plenty of people that might choose to do this because they need the flexibility. But then there are others too that might decide at one point that it's just become too expensive and they should sign another lease for longer term. Our leases are generally 12 months, as you know, and yes, I would think that's where they normally start, and that would be the majority. However, as I alluded to earlier, we do have shorter ones as well, and we profit from those. So, after this call, I'll be able to get you the breakout of exactly what the ratio is from 12 months to the shorter-term months. But I can confidently say that yes, we probably have more long term than short term.
Matt Kornack: Okay. No, that's fair enough. And then I guess maybe broader -- broadly speaking, excluding that dynamic, do you have a sense as to the pace at which market rents may be moving within your markets? And only because it has an ancillary impact, I guess 40%, of course, CPI in the U.S. is rent growth. So, if that comes down, it may ultimately lead to lower interest rates, but just a sense as to how market rents are trending?
Susie Rosenbaum Koehn: Yes. I mean, they're still, they're not negative, right? They're still trending upwards, just not nearly as aggressively as they were over the last two years. So while we do have a mark-to-market included in our revenue increase, we've also are in the guidance. We've also blended in increases for this additional growth. And I think, I said earlier, you've got all of that, and then a little bit of offset related to other income.
Operator: Thank you. And we do have time for one more question from Dean Wilkinson at CIBC. Please go ahead.
Dean Wilkinson: First point, Dan, Dallas has been number one ever since Troy Aikman won the MVP. On the issue of deal volumes, I mean, down in the states you've got the 1031 exchange. Have you seen a slowdown in 1031 transactions? And the second part of that would be, I'm assuming there's a lot of embedded unrealized gains for a lot of those holders. Could you see volume activity coming back such to the point that it actually puts a bidding war into some of the newer assets that could say fly in the face of increasing interest rates?
Daniel Oberste: Yes. That's a good question. To answer the first part of that question, we saw 1031 kind of linger into the summer last year, moving into the, I'll say the third quarter. And that's an excellent rotation opportunity for a U.S. investor that's unique to the United States. It enables a holder to defer their taxable gain into an investment in a like kind property. BSR executed several of these in our rotations. We did see some lingering 1031 roll into the summer and then into the third quarter. Right now, the markets, you got to fund a buyer for your property at a price you want in order to defer that gain and move it forward. We are not seeing -- due to that transaction value drop, we are really not seeing a lot of 1031 take place, which is healthy. It provides us a better look through on true values. And oftentimes, the 1031 buyer will drive up the price in a bidding war of an asset, as you said. We are not seeing a lot of that take place right now. And I think based on the deferred basis that these investors do have, they are going to -- I think they are probably going to be more inclined to hold on to their cash flow and asset, than to take a risk and rotate and look for something to buy, particularly to high grade. So in other words, you are trying to do what BSR did in '19 and you're sitting in 2023, you got a tough road ahead of you. That opportunity to rotate and defer in high grade and high market, it was there right when we did it. It's going to be tough for those same type of investors to execute on those kind of rotations and look forward to further gains.
Operator: Thank you. You may now proceed with closing comments.
Daniel Oberste: That concludes our call today. Thank you for your interest in BSR REIT. We look forward to speaking with you again after we report our 2023 first quarter results.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating and we ask that you please disconnect your lines.